Executives: Jennifer M. Beatty - Vice President of Investor Relations John W. Eaves - Chief Executive Officer, President, Director, Member of Energy & Environmental Policy Committee and Member of Finance Committee Paul A. Lang - Chief Operating Officer and Executive Vice President John T. Drexler - Chief Financial Officer and Senior Vice President
Analysts: Holly Stewart - Howard Weil Incorporated, Research Division Michael S. Dudas - Sterne Agee & Leach Inc., Research Division Mitesh Thakkar - FBR Capital Markets & Co., Research Division Brian Yu - Citigroup Inc, Research Division Brandon Blossman - Tudor, Pickering, Holt & Co. Securities, Inc., Research Division Brian Singer - Goldman Sachs Group Inc., Research Division Paul S. Forward - Stifel, Nicolaus & Co., Inc., Research Division Jeremy Sussman - Clarkson Capital Markets, Research Division Lucas Pipes - Brean Capital LLC, Research Division Curtis Rogers Woodworth - Nomura Securities Co. Ltd., Research Division Meredith H. Bandy - BMO Capital Markets Canada Timna Tanners - BofA Merrill Lynch, Research Division J. Christopher Haberlin - Davenport & Company, LLC, Research Division Caleb M.J. Dorfman - Simmons & Company International, Research Division Lance Ettus - Tuohy Brothers Investment Research, Inc. Matthew Farwell - Imperial Capital, LLC, Research Division David Gagliano - Barclays Capital, Research Division David A. Lipschitz - Credit Agricole Securities (USA) Inc., Research Division Matthew Vittorioso - Barclays Capital, Research Division
Operator: Good day, everyone, and welcome to this Arch Coal Incorporated Second Quarter 2013 Earnings Release Conference Call. Today's call is being recorded. At this time, I would like to turn the call over to Jennifer Beatty, Vice President of Investor Relations. Please go ahead.
Jennifer M. Beatty: Good morning from St. Louis. Thanks for joining us today. Before we begin, let me remind you that certain statements made during this call, including statements relating to our expected future business and financial performance, may be considered forward-looking statements according to the Private Securities Litigation Reform Act. Forward-looking statements, by their nature, address matters that are, to different degrees, uncertain. These uncertainties, which are described in more detail in the annual and quarterly reports that we file with the SEC, may cause our actual future results to be materially different than those expressed in our forward-looking statements. We do not undertake to update our forward-looking statements, whether as a result of new information, future events or otherwise, except as may be required by law. I'd also like to remind you that you can find a reconciliation of the non-GAAP financial measures that we plan to discuss this morning at the end of our press release, a copy of which we have posted in the Investors section of our website at archcoal.com. On the call this morning, we have John Eaves, Arch's President and CEO; Paul Lang, Arch's Executive Vice President and COO; and John Drexler, our Senior Vice President and CFO. John, Paul and John will begin the call with some brief formal remarks, and thereafter, we'll be happy to take your questions. John?
John W. Eaves: Good morning, everyone. I'd like to briefly highlight some milestones that Arch has achieved thus far in 2013 and provide an update on our outlook for the back half of the year. During the second quarter, we generated over $110 million of EBITDA, which was 32% higher than what we earned in the first quarter. Our operations continue to turn in solid performances in terms of mine safety, environmental compliance and operational efficiency. In fact, our strong cost control in the first half of the year has allowed us to lower our full year 2013 cost expectations again this quarter. Beyond cost control, we're also reining in capital spending. Our overall spending this year was more heavily weighted to the first half, and we remain committed to preserving capital in light of the current market conditions. That's why we're again lowering our capital expenditure levels for the full year 2013. More importantly, we expect capital spending to decrease next year as the Leer mine moves into production and after Canyon Fuel sale is completed. Even with a near-term cautious outlook on global coal markets, we're confident that better days are ahead, and we're pleased with the success we've had in managing what we can control. We're taking the right steps to weather this downturn, and as prices improve, we're well positioned for the market rebound. Another area of focus for Arch has been the noncore asset sales, and we've executed on this front with the announced sale of Canyon Fuel in June. This transaction was a result of an ongoing process to identify assets within Arch's portfolio that didn't fit into our longer-term strategic growth plans. We're pleased with the value of this transaction will provide us and believe that the sale puts Arch in a strong position for evolving domestic coal marketplace, while our Utah mines have created value for our shareholders over the year, particularly since we increased our percentage ownership in those assets to 100% in 2004. We do not view these mines as core to our future strategic positioning and thus, are monetizing those assets now to bring forward incremental value. This sale will also save us north of $200 million in CapEx and OpEx over the next 4 years. What's more, the $435 million in proceeds expected from the sale accelerates multiple years of cash flows and puts it on our balance sheet today. This incremental boost in liquidity in the near term is a bonus and will enhance our ability to delever the balance sheet over time when market conditions turn more favorable. We remain on track to close the transaction in the third quarter. I'd like to extend my gratitude to the Utah employees for their contributions and the years of safety, stewardship and performance. We want to provide the most seamless transition possible for them. At the same time, we're running Canyon Fuel as we normally would until the sale is final. Thus, we will continue to report our key metrics with Utah included, and we'll refrain from providing further commentary until the sale is completed. Now turning to our outlook for coal. This divestiture allows Arch to concentrate our efforts on the most valuable enhancing parts of our business going forward. Those include a strong PRB franchise, a growing metallurgical platform and a larger footprint in Illinois and seaborne coal trading. On the domestic thermal front, we believe that we're in early stages of a multiyear recovery from PRB. Natural gas prices are less of a headwind. Weather has normalized to some extent, and power demand's up. Coal has regained ground in the electric generation market. U.S. production is down, and coal stockpiles at PRB soar [ph] plans are on the decline. In fact, we believe the summer burn season will drive days of the supply and PRB customers down to below the 5-year average. This trend is a significant turnaround from where we were just a year ago and is leading to increased customer interest in securing tonnage. In the near term, increased PRB demand is allowing us to run our mines more efficiently even while a portion of our equipment fleet is idle. Over time, we believe that we'll see even further improvement in PRB markets, which should allow ours to capture upside through both volume and price recovery. In addition, the long-term opportunity of moving PRB tonnage into Asia creates a compelling value proposition for Arch. That's why we continue to pursue port opportunities off the West Coast. In fact, the Army Corps of Engineers has recently stated it will limit the scope of its environmental assessment of proposed coal export facilities to the projects themselves, which is positive for Millennium Bulk Terminal and all the export businesses that provide economic benefits to the communities along the West Coast. At the same time, we expect a multiyear process to bring in BT online with many milestones to be reached along the way, but we're making progress. In the meantime, we are shipping limited volumes out of Ridley to develop a customer base for PRB, and we'll continue to pursue other options to expand our export opportunities for Western coals. Overall, a rebound in domestic coal markets coupled with a growing and vibrant export market for PRB should unlock further value for our assets and our company over time. Turning to the buildout of our metallurgical coal platform. We continue to optimize our asset base in Appalachia by consolidating equipment and manpower and the complexes that have a competitive cost and quality advantage in the market. We're idling higher-cost met mines at the same time, developing a world-class met property at Leer. Our Appalachian platform represents one of the lowest-cost operating profiles in the region, and our mix of metallurgical assets can provide superior returns going forward, not to mention the optionality of further organic growth on the Tygart Valley reserves. We believe the inherent value of our met assets and reserves will become even more apparent over time. However, we're clearly cognizant of the market in which we're operating in today. While met coal demand remains relatively stable, driven in part by solid utilization rates at U.S. steel mills, prices are muted, and supply rationalization to date has not been sufficient to balance the market. Late last year, we idled several met mines, and during the second quarter 2013, we shut our 2 contract mines at Cumberland River. These curtailments have reduced our overall met coal capacity by approximately 2 million tons annualized. In addition, we've elected to slowly start-up of Leer's long haul to later in the fourth quarter. We continue to feed development tons into the marketplace with good success, as Paul will discuss. But we won't expect orders for larger volumes to kick in until the start of the year as the traditional contracting season is just getting underway. While current market dynamics have led to our decision to reduce our met coal sales expectations for 2013, we're confident that the global met coal supply and capital spending for met coal projects are in the process of significant rationalization, which will set the stage for recovery. We're also confident we have some very strong met assets under our roof that can compete in the global marketplace during the weak periods and that can shine in stronger markets. Lastly, Arch expects to grow its footprint in Illinois and in the seaborne trade over time with good quality, cost-competitive and strategically positioned assets. We have low-cost thermal coal assets and reserves in each key basin that can be major players in the domestic and export markets. We're also securing transportation options, building on export access and expanding our offices overseas. We're doing all these things for diversification, for growth potential and more importantly, for enhancing future returns on our capital employed, and we're excited about our long-term strategy. With that, I will turn the call over to our COO, Paul Lang, for a discussion of Arch's sales and operating performance. Paul?
Paul A. Lang: Thanks, John. During the second quarter of 2013, we successfully expanded our consolidated operating margin per ton, largely driven by our ability to control costs. Our focus on cost control across the operating platform has resulted in margin expansion in the first half of 2013 and helped to reduce our cost guidance for all operating regions for the full year. That cost reduction is occurring even though we're running at lower volumes than we have historically. In a commodity-based business, we're always evaluating ways in which we can further reduce our costs. But in a downturn such as this one, our focus has become even sharper. In particular, our dedication to process improvement initiatives over the years has provided Arch with many best practices to improve the operational efficiencies at our mines. In the Powder River Basin, the mines have built upon their strong first quarter cost performances through these initiatives. As just one example, we're now using diesel emission profiles on haul trucks to help establish predictive maintenance schedules. This emissions-based maintenance program has allowed us to achieve maximum performance on equipment while reducing fuel consumption as well as wear and tear on the trucks. With this, we've been successful in reducing unplanned maintenance costs and associated downtime, as well as extending the useful life of equipment. All of these things are positively impacting our bottom line today and will deliver capital savings in the future. In addition, we're testing different blends of explosives in the Powder River Basin, and we've been experimenting with our blasting techniques for several years now in order to save on raw material costs. The value of these types of programs is significant when you consider that explosives and diesel account for roughly 20% of our cash operating cost in the region. So far in 2013, our efforts have reduced our consumable cost by 5%. More importantly, we expect to maintain these cost savings during the next market rebound. In Appalachia, we have successfully redeployed equipment and personnel from idled operations into active ones, which has helped reduce our maintenance expense, improve mine productivity and lower future capital needs. These efforts have contributed to a 2% decline in cash cost for the region in the second quarter over the first and a 5% decline over last year. That's even though we're running 20% lower volume levels than we did in 2012. In other operating regions, our cost performance in the second quarter were all better than expectations. Beyond our successful cost control efforts, we're benefiting from previous recapitalization of mines, such as West Elk in Colorado and Viper, Illinois, and expect those operations to be well positioned for the future. With this collective success, we've lowered our cash cost per ton guidance across all operating regions for the full year. Turning now to our coal market outlook. I'd like to highlight our sales performance. In the Powder River Basin, sales were up slightly in the second quarter compared to the first quarter as customer shipments increased against the backdrop of favorable spring weather and higher competing fuel prices. During the quarter, we placed some new business for 8,800 Btu coal to domestic and export customers and priced some of our previously committed tons for the year. Our sales position is now essentially sold out for 2013. For 2014, 80% of our new sales made during the quarter reflect higher-margin, 8,800 Btu tons with the balance representing 8,400 Btu coal. To date, we've locked in a mix of sales for 2014, with 75% or so of our volume committed based on 2013 run rates. This will allow our operations to run efficiently in the Powder River Basin while still maintaining meaningful upside with uncommitted volumes in an improving market. Anecdotally, we're seeing increased interest by customers to supplement their current needs and the desire to build out requirements into the future. We've signed multiple agreements with customers, some of which extend through 2018. In other regions, we're seeing pockets of opportunity in the industrial and utility markets on a plant-specific basis. We're also fielding interest from overseas customers although current prices make those sales more challenging. Yet we're still finding success in certain markets, particularly Europe, which has turned increasingly to the U.S. for its coking and thermal coal needs. Turning to the metallurgical side of the business. We shipped 2.1 million tons of coking coal at an average price of $88 per ton in the second quarter, with about 2/3 of the sales mix representing high-vol B and PCI coal. Overall, our metallurgical shipments in the second quarter improved as shipping lanes across the Great Lakes opened up and Canadian customers took their tons. To date, we've committed 7 million tons of metallurgical coal, and we're now forecasting total coking and PCI sales of around 8 million tons for 2013. The new range reflects the start-up to Leer longwall later in the fourth quarter and the idling of metallurgical contract mines during the second quarter. Over the past 3 months, we've continued to advance the Leer project. From an engineering perspective, we now have all the major infrastructure and operation, including the preparation plant, rail load-out and conveyor systems. The longwall equipment is on site, and the continuous miners are working methodically to develop the longwall panels. From a sales standpoint, our customer tests are complete or nearing completion. These targeted customers include the diverse base stretching from North and South America to Europe and Asia. The ongoing feedback we're receiving has been positive, and the introduction of the product into the world market has gone very well. The value proposition we offer to customers with Leer production is a very cost-competitive coking coal with strong quality attributes from homogeneous seam and an extensive reserve base that can be mined for decades to come. We expect to be -- to begin placing those tons in earnest for 2014 contracting season starting this fall, and we see no benefit given the current market conditions to push Leer into the market any sooner than necessary. With that, I'll turn the call over to John Drexler, Arch's CFO, to provide an update on our financial results and guidance. John?
John T. Drexler: Thank you, Paul. As John and Paul have discussed, the second quarter was a strong one from a cost control and capital discipline perspective. As expected, our free cash flow was negative for the quarter because we had higher-than-normal cash outflows due to the timing of our annual $60 million payment for the South Hilight LBA. Additionally, we had our scheduled semiannual interest payments of $110 million due in the quarter. These cash outflows will not recur next quarter, and we would expect to generate positive free cash flow as a result. Our internal projections also exclude any expected cash proceeds from the Canyon Fuel transaction. Turning to our results. We generated over $110 million in EBITDA during the second quarter, which includes earnings from our Canyon Fuel subsidiary. As required under the accounting rules, we have presented our GAAP results, with Canyon Fuel listed as discontinued operations as these assets were held for sale at the end of the quarter. However, as John mentioned in his prepared remarks, we're still running the Canyon Fuel operations, so our key metrics will include earnings from those mines through closing. After the transaction is completed, we will be looking at how our ongoing operations from a marketing and business perspective align going forward. We're also reviewing our reporting requirements and changes that could result from this transaction, and we'll provide an update on our next quarterly call. Turning now to our liquidity position. We finished the second quarter with cash and short-term investments of almost $900 million and total liquidity of roughly $1.2 billion. As a reminder, aside from our cash and investments, our liquidity includes borrowing capacity under our accounts receivable securitization program and our undrawn revolving credit facility. The revolving credit facility remains the only component of our liquidity and debt structure exposed to financial maintenance covenants. We have 2 covenants that apply to the revolver through the end of 2015 in the event that we have borrowings under that facility. First, there is a minimum liquidity requirement of $450 million. Second, there is a senior secured leverage ratio that is calculated net of cash and investments. Based upon our current expectations, we remain comfortably in compliance with both of those covenants. In addition to the strategic benefits that John discussed, the Canyon Fuel transaction will also enhance our liquidity. When the transaction closes, we expect to record a gain of $120 million to reflect the sale. This gain will be included in our EBITDA for the calculation of our financial maintenance covenants. In addition, after receiving $435 million in gross proceeds from the sale, we will have $1.3 billion of cash and $1.6 billion of liquidity available on a pro forma basis. When the transaction is complete, our immediate view is to prudently maintain that liquidity in the form of cash. However, as markets improve, we will have additional flexibility with which to delever the balance sheet. We have many avenues to choose from, and we'll do so opportunistically, ensuring that we make the best long-term decisions for our stakeholders. Turning now to our expectations for full year 2013. We have provided updated guidance in our earnings release. Our success in containing costs has allowed us to reduce our cost expectations in each of our operating basins. In the Powder River Basin, we now expect cash costs in the range of $10.45 to $10.85 per ton, representing a reduction of $0.25 from the midpoint of our previous guidance. In Appalachia, we expect cash cost of $65.50 to $69.50 per ton, down $1 from the midpoint of our previous range. In the Western Bituminous region, we're now estimating cash cost between $24 and $26 per ton, a reduction of $1 from the top end of the previous range. This guidance includes our Canyon Fuel operations. Then finally, in Illinois, we expect cash cost to be in the range of $33.50 to $35 per ton, representing a reduction of $0.75 from the midpoint of the previous range. In addition, we expect to reduce capital spending by $20 million, with the range now between $280 million and $310 million and DD&A now in the range of $480 million to $510 million. With our current outlook and the expected impact of percentage depletion, we would continue to expect the tax benefit in the range of 30% to 50%. Our second quarter results and updated guidance demonstrate our ability to strategically navigate these current challenging conditions. When markets improve and with the proceeds from the Canyon Fuel sale, we will be in a strong position to delever the balance sheet and set the stage for future value creation for our stakeholders. With that, we are ready to take questions. Operator, I will turn the call back over to you.
Operator: [Operator Instructions] We'll take our first question from Holly Stewart with Howard Weil.
Holly Stewart - Howard Weil Incorporated, Research Division: John, just trying to reconcile the 2013 budget. Can you remind us what is in the numbers for total CapEx for Leer and then maybe try to get us a number on the Western Bituminous side? Just trying to think about maintenance type of levels for next year.
Paul A. Lang: Yes. I'll start that out. We had roughly 2 -- we're showing about $295 million in CapEx at the midpoint. About $100 million of that is Leer.
John W. Eaves: Yes. And, Holly, we should have that full and capitalized by the end of this year and put us in very good position as we move into 2014.
Holly Stewart - Howard Weil Incorporated, Research Division: And then any color on the Western Bit side? I was just assuming that the $200 million that is coming out of the budget was relating to Western Bit, but now it sounds like all that is kind of still included in the guidance.
John T. Drexler: Holly, at the time of the Canyon Fuel transaction, we had indicated on a pro forma basis we expected about $20 million of CapEx over the course of 2013 for Canyon Fuel. That's for the full year. As we projected out further into the outer years, that CapEx was expected to increase for Canyon Fuel, part of the rationalization of why we were monetizing that. But hopefully, that gives you some color. If you look at CapEx over the first half of the year, it's more heavily weighted to the first half because of the LBA payment that we made for $60 million. So that's all what's included in the full year guidance that we've reflected now at the midpoint of $295 million.
John W. Eaves: And, Holly, one of the drivers moving forward in the CFC transaction was the capital that we had to spend over the next 4 years to keep those mines kind of producing at the current levels. It was north of $200 million, which is mostly capital, a little bit of G&A savings, but for the most part, capital savings over the next 48 months or so.
Holly Stewart - Howard Weil Incorporated, Research Division: Okay. And then maybe on my follow-up, just trying to get a sense -- you guys mentioned the inquiries from overseas customers continued or have continued. So -- and then maybe last quarter, you took a charge for throughput capacity at one of your terminals. So just trying to think about how you guys are handling the export market today. Have you seen a charge during this quarter that you didn't call out during the lease, just maybe bigger picture, the international market from a thermal perspective?
John W. Eaves: Yes. Holly, this is John. I mean, we continue to build up our international customer base. We're pleased with the demand that we're seeing, particularly in Asia right now. I don't like the pricing, continue to evaluate those markets. We are still forecasting exports industrywide plus 100 million tons. Our target for Arch for 2013 is about 12 million tons of exports. The LDs was a little bit less this quarter, and Paul, you might want to touch on where we were on those.
Paul A. Lang: Yes. Holly, this is Paul. We had minimal liquidated damages during the second quarter. As part of an ongoing evaluation, we continue to review our throughput contracts and our potential exposure. There could be additional payments through the year, but we were successful in the second quarter of mitigating the costs.
Operator: And we'll take our next question from Michael Dudas with Sterne Agee.
Michael S. Dudas - Sterne Agee & Leach Inc., Research Division: John, out in the PRB, when you look at next year's open tonnage and what you've contracted, let's say, in the second quarter and what you expect going forward, the blend of index versus real contract negotiations and give us a sense of given where -- what we see in the trade rags is spot price and -- how steep is the contango? Are you able to get much better deals out into the future than you have been on the near-term basis? Could you kind of just give us a sense of how that looks as we chart to modeling '14?
John T. Drexler: Yes. I mean, Michael, we put a lot of business during the second quarter that tends about 19 million tons, and we saw a lot of activity during the second quarter for 2014. I think we'll see how this plays out over the balance of the year. We think we're continuing to draw inventories. We think PRB customers are at kind of normalized inventory levels for what is normal today. That may be changing. But clearly, natural gas prices in that $3.40, $3.50 range, the fact that we continue to draw inventories, we think as we move further into the buying season for 2014, and we could see an improved market as we move into 2014. Based on our 2013 volumes, we're about 75% committed for 2014 right now. So we feel pretty good about where we are. We'll have to see where this market goes, but you can see what putting some of those volumes to bed has done to our cost in 2013. We would expect to maintain that as we move into 2014.
Michael S. Dudas - Sterne Agee & Leach Inc., Research Division: Are index tons more or less expensive than negotiated tons in your portfolio?
John W. Eaves: The index tons pretty much move with the market, and there's typically maybe a quarter lag in those tons. They're all a little bit different. They're driven by the publicly submitted indexes that we see out there.
Michael S. Dudas - Sterne Agee & Leach Inc., Research Division: My follow-up, John, is in Appalachia, we're seeing some pretty hard production cutbacks. Thermal, we're starting to see even met. How much more do you think comes out from a North American standpoint in this production rationalization? And obviously, do you think it's going to continue pretty hard with the mine shutdowns and layoffs and mine closures in Appalachia as we move into 2014?
John W. Eaves: Michael, if you just look at industry data for June 30, production industry was down about 20 million tons. A big part of that is, in fact, about 12 million or 13 million tons. We think cash is going to continue to be under pressure. We think you will continue to see that transition away from the thermal market into the met market, and there'll be further pressure on shutdowns in terms of supply. If you look at gas prices right now at $3.50, Central App thermal coal will not dispatch at $3.50 gas. And we think PRB, Western Bit, even Illinois will do fine with gas prices in that level. But as you've heard me say many times, we need somewhere between $4.50 and $5 gas to allow the thermal coal to dispatch either. Internal forecast for 2013 at Central App about 20 million, 21 million tons down over 2012. So down around that 128 million ton range for this year. I think, quite frankly, from what we've seen first half, that may be high. So there might be more pressure on that the back half.
Operator: And we'll take our next question from Mitesh Thakkar with FBR Capital Markets.
Mitesh Thakkar - FBR Capital Markets & Co., Research Division: Just a quick question on the utility, demand trends a little bit. When you think -- you mentioned in your call that you have made some contracts, which go through 2018. Is that kind of a change which you're seeing versus last year when utilities were looking for a much shorter down contracting and how to think about pricing in general as far as PRB is concerned?
Paul A. Lang: Mitesh, I'll -- this is Paul. I'll start that. I think we have seen a couple of customers, I think, wanting to lock in some volumes down the road. And my sense is it's maybe a little bit more than we've seen in the past, but I don't know that it's a huge sea change of the way people are going about things.
Mitesh Thakkar - FBR Capital Markets & Co., Research Division: Okay. And when you think about your own contracting, you did a fair amount of contracting this quarter, and it's -- looks like you're almost 80% sold out for next year. How do you think about closing the year? Should we expect a lot more contracting to happen between now and the end of year, maybe go 100% contracted this year?
Paul A. Lang: I think our numbers actually were close to about 75% sold out next year based on 2013 run rates, and I feel pretty good about that position. I think we have a good sense of where the market is. The fact is we're losing about as many bids as we're hitting on. So I think we are having continuing success reducing costs, we're broadening our customer base, and we plan to layer in more long-term deals. But sitting here at 25% right now, I think, uncommitted next year, I think, is pretty comfortable.
John W. Eaves: Mitesh, if you look at our position for 2014 right now, as Paul said, and we're probably in better position than we've been in many years in terms of our commitments, at the same time maintaining the ability for upside as we see that materialize in markets. So we're real happy with where we sit today and where we're heading.
Operator: We'll take our next question from Brian Yu with Citi.
Brian Yu - Citigroup Inc, Research Division: Great. My first question is with the metallurgical coal reductions, can you parse out how much of that is related to the delay of Leer versus the contractor mines pilings?
John W. Eaves: Brian, I think it's a combination. There was -- we did some -- we closed 3 coal mines in the fourth quarter of 2012. In the second quarter of this year, we reduced some contract mines at Cumberland River and then the slowdown of Leer by 1 month or 2, all that combine, on an annualized basis, about 2 million ton reduction.
Brian Yu - Citigroup Inc, Research Division: Okay. And then the second one is once Leer is fully up and running, if you look at your 8 million ton guidance for this year, how much incremental will that contribute for 2014?
John W. Eaves: Well, we have said publicly that, that mine will run full production basis about 3.5 million tons. A portion of that will be put into lower-quality kind of an off -- Middle East-type product that generates -- that is generated through the metallurgical process, but 3.5 million tons at steady run rate is what we expect in 2014.
Operator: We'll take our next question from Brandon Blossman from Tudor, Pickering, Holt & Co.
Brandon Blossman - Tudor, Pickering, Holt & Co. Securities, Inc., Research Division: Let's see, Steve, what you can disclose on this. But focusing on West Elk for a second, it looks like historically, maybe about 25% of the total export tons. Is that a valid assumption on a go-forward basis kind of X the growth in net out of Leer? And is there any other color that you can give us just on the cost structure at West Elk individually and maybe who the customers are historically there?
John W. Eaves: Yes, we don't typically break out our export volumes by mine location. We exported about 5.5 million tons through the first half of 2013. We're on target for about 12 million tons for the year. We also don't really break out cost. But what I will say about West Elk, if you look at the quality and the cost structure and our customer base, whether it's domestic or international, it's got a pretty wide reach, good-quality coal, low-sulfur coal, good access to markets, not only off the West Coast but through the Gulf and through Houston. So we're pleased with that asset. We think it'll play well in the U.S. and international markets going forward.
Brandon Blossman - Tudor, Pickering, Holt & Co. Securities, Inc., Research Division: Okay. And to follow up on that, was there some foreshadowing there, that West Elk? Because it, as a basin, will be a single mine that it may be rolled into the results of, say, Powder River Basin and reported as a Western basis on a go-forward?
John T. Drexler: Brandon, that's something, from an accounting perspective, we look at, from a segment reporting issue, as something we're evaluating now, and as indicated, that's something we'll update on the next call.
Brandon Blossman - Tudor, Pickering, Holt & Co. Securities, Inc., Research Division: Okay, fair enough. And then just real quick, second question. Met, the reduction in guidance for '13, was that primarily driven by demand or was that the mine's interest?
John W. Eaves: Well, I think it was based on the demand that we saw in the marketplace, our cost structure, and we always said that we're going to always be looking at our portfolio, make sure that we've got a wider range of quality products and a good cost structure that allows us to generate positive cash margins in tough markets and really do extremely well when we see market improvements. And that's what we've done. I mean, we think we're well positioned with high-vol Bs, high-vol A, low-vol PCI. So Paul and his team can walk into a customer in the U.S. or around the world and pretty much provide any type product that you're looking for.
Operator: And we'll take our next question from Brian Singer with Goldman Sachs.
Brian Singer - Goldman Sachs Group Inc., Research Division: On met coal, in your release, you mentioned you see the supply rationalization at existing operations underway in the industry. Into that end, you've reduced your outlook for this year by about 0.5 million tons. So I think some of that is just the timing of deferring Leer until the end of the year. Do you think your contribution, along with what you see from others, is enough to balance the met market? And what would it take pricing-wise for you to either reduce your output further or return to your prior levels?
Paul A. Lang: Brian, this is Paul. I'll start out and see if John wants to jump in. But I think the simple answer is, is there still is exit supply in the market, and I -- it's a tough number to gauge, but I think we believe that somewhere between 15 billion and 25 billion tons on a worldwide basis. But it appears to be more heavily weighted towards low-vol coals, which is why I think you're seeing the benchmark pricing down. Clearly, Australian dollar drop has helped those producers, but I think what's being lost in this is the relative strength of the high-vol coals into Europe. We're down through the year, maybe $5 or $8, but it's not nearly the percentage of what we're seeing in -- on the benchmark pricing.
John W. Eaves: Brian, I think when you look at the industry right now, as Paul said, it's really hard to get your hands around what the oversupply is. We don't think it's significant, that 15 million to 25 million ton range. We do think, in that 300 million ton seaborne market, that there's a pretty significant percentage of suppliers that don't have the economics to play at, say, a benchmark of $145. So we think over the coming months, you've got to see some type of rationalization, and not only from the U.S., but we think you'll see some in Australia as well as potentially Canada.
Brian Singer - Goldman Sachs Group Inc., Research Division: Great. That's helpful. And my follow-up is going back to the CapEx question, it looks like you're on track for a little bit over a $60 million run rate for the second half. It seems like, as you said earlier, if we eliminate the Canyon, the contribution in Utah, you were talking about more of a $45 million to $50 million run rate per quarter. Is that -- does that make sense? And is that a level of CapEx that you expect to continue on an ongoing basis? And excluding Leer, what growth or decline would that imply? Is that maintenance or is that kind of less than maintenance?
Paul A. Lang: As I brought up earlier, Leer CapEx is going to be about $100 million, and our 2013 CapEx was weighed very heavily towards the first half. And I would expect the range that you put down, about 40% will be the balance between -- the split between the next 2 quarters. I think we're being careful to adjust our spending not to hurt our operating costs or hurt anything at the operations. But as you look at 2014, I think prior -- in the last release, we gave a range of $210 million to $220 million for the operations and another $80 million on land. We're continuing to evaluate this, and I don't think we're ready to provide any hard numbers. But I think we are looking at coming off those numbers, and it'll depend on the market.
Operator: We'll take our next question from Paul Forward with Stifel Nicolaus.
Paul S. Forward - Stifel, Nicolaus & Co., Inc., Research Division: Wanted to follow up on that discussion on the met coal markets. I think, Paul, you had mentioned that the high vol was holding up pretty well. Can you talk a little bit about where we are for the -- for market prices today? And maybe if you don't want to talk about individual prices, are there any markets where you could, say, you can buy coal cheaper than you can produce it, and therefore, there might be further potential shutdowns if there is no recovery in the markets?
Paul A. Lang: Paul, I'll start that one off. And clearly, we're seeing prices that have trended down, but I think it's not been the decline that you see in the Australian low-vol basin. Just kind of ballpark numbers, low-vol, I think, at the mines, we're seeing in the mid-90s. The high vols paid on the grade, somewhere the As are primarily around 90, high 80s, low 90s, while the Bs are in the mid-70s to low 80s. I think I haven't seen a case yet where we could go out and buy coal cheaper than we could produce it.
John W. Eaves: Paul, this is John. I would agree with Paul, and we work real hard on kind of refining our mines and making sure that we've got a very competitive cost structure in place for all our products. And again, we're generating cash margins from all of those. When you think about the high-vol B prices and you think about our discussion in the last quarterly call, there really hadn't been much deterioration in that pricing quarter-over-quarter versus what you've seen in the benchmark. So we're pleased with how the high-vol coals are holding up in the marketplace.
Paul S. Forward - Stifel, Nicolaus & Co., Inc., Research Division: Okay. That's very helpful. And maybe if I could just ask, the midpoint of cash cost guidance in the Appalachian at $67.50 this year, with the brand-new longwall for -- coming online and contributing to all of 2014, directionally, where do you see that number going in '14?
Paul A. Lang: Paul, we have pretty well stuck with the line that liquidation of Leer, our guidance done was going to stay about where it is. Our average cost will be about the same.
Operator: And we'll take our next question from Jeremy Sussman with Clarkson Capital.
Jeremy Sussman - Clarkson Capital Markets, Research Division: I have a follow-up on Paul's question in terms of thinking out a little bit next year in the Powder River Basin. I guess back half of the year, productional -- looks like it'll trend up a little bit especially given where first quarter this year came in. Can you give us a sense, kind of direction of how we should think about cost in the Powder River Basin for next year?
Paul A. Lang: Yes, I think to start with, I'm very pleased with what the guys have done. Our cash costs in Q2 were $10.47, which was $0.43 below Q1. Probably more importantly, it's $1.11 below Q4. If you carve out that half -- the first halves of 2012, 2013, we've dropped our cost about $0.58 over 54 million tons. That equates to about $30 million in savings. And if you kind of break that out, about 30% of it was labor, 30% was maintenance and repair and 20% diesel, and the rest were contractor. The guys did a good job during the quarter and hit on the things that I talked about in my prepared comments. And I think we're feeling pretty good. A lot of these were sustainable cuts.
John W. Eaves: Jeremy, we're in the early stages of kind of our planning for 2014. The budget kicks off here in the next 30, 45 days. And I think we'll have a better idea as we move through the fall on what 2014 looks like. But to give Paul and his team a lot of credit, they -- in a tough environment, they have managed cost control very effectively, and we expect that to continue as we move into next year.
Jeremy Sussman - Clarkson Capital Markets, Research Division: Appreciate that. No question the cost control has been excellent. And just a quick follow up. So can you talk about -- John, you talked about markets -- the markets improving. Certainly, utilities, ultimately looking like they'll be below their 5-year average in terms of kind of inventories. Certainly, PRB burning ones anyway. For -- so kind of given that outlook, how do you look at kind of the decision to lock in 19 million, 20 million tons this quarter versus kind of waiting for the market to improve? Can you just give us a sense of kind of how you kind of weigh the 2 options?
John W. Eaves: Jeremy, you've heard me say on many occasions we're not smart enough to catch the top of the market. And we said we're always going to be in the market and we needed to get some volumes laid off to make sure that we can run our operations optimally. And that's what we've done. I would say during the second quarter, we saw a lot of opportunities in the marketplace, and we took advantage of those. And you've seen this year what it does to our costs, and we -- like I said, we would expect that to continue next year. So we have done that. At the same time, we haven't given up the upside opportunities if the market presents those.
Operator: We'll take our next question from Lucas Pipes with Brean Capital.
Lucas Pipes - Brean Capital LLC, Research Division: John, you made some comments in your prepared remarks about the Illinois Basin that sounded pretty positive to me. Could you elaborate on what you see for that region? And how do you expect the Arch Coal to participate in that?
John W. Eaves: Lucas, Arch has got a long history in Illinois. It goes back 30 or 40 years. We spent a lot of time there. We feel like we understand it. We've got the Viper operation in the central part of Illinois. That's about 2 million tons a year, generating a very good EBITDA. But we've got a 49% equity investment in Knight Hawk, which is an investment we've been extremely pleased with. And then beyond that, we have 700 million tons of a low-chlorine, higher-Btu coal that we think will have a good cost structure. So as we look at the market and we see what's going on in the regulatory environment, the cost pressures, the inability to get permits in the East, over the next 3 to 5 years, we see the winners being primarily PRB and secondarily, the Illinois Basin. So we're in both of those regions. Our Lost Prairie operation in Southern Illinois is permitted and ready to go. But if you look at the Illinois market today, there's too much volume coming out of that market. We don't think it's prudent, but as we see the market evolve more cost pressures on the other regions, we think we've got a fantastic reserve there that we can bring on, put a big percentage of that to bed in the U.S. markets and also be very competitive in the international market. So when you think about Arch over the next 3 to 5 years and once we get through this tough market, we delever our balance sheet, 2 areas that are going to continue to grow would, one, be the Southern Illinois, and the other piece would be the Tygart Valley reserves, which are just west of our Leer. So we've got some very attractive organic projects, once the market improves, that we can take advantage of.
Lucas Pipes - Brean Capital LLC, Research Division: I appreciate that. That's very helpful. And in the meantime, do you believe that the current market environment is going to drive more M&A across the U.S. mining space -- coal mining space?
John W. Eaves: Lucas, I think it's possible. I got to tell you everybody in this environment is pretty inwardly focused, I would say. Not that you won't see some M&A, but everybody's focused on managing their balance sheet, making sure they get through this tough period, and let's just see where goes. But if you're a Central App supplier and you've got some higher costs and pretty much thermal coal and you don't have any infrastructure in place to access the international markets, I think you're going to be pretty challenged over the next couple of years. So whether they go away, become part of another company, I think time will tell.
Lucas Pipes - Brean Capital LLC, Research Division: That's helpful. And then maybe lastly, you mentioned also multiyear recovery in the domestic thermal coal market in your prepared remarks. How -- what do you see as the main drivers for that taking place?
John W. Eaves: Well, I think it's a couple of things. I think it's the pressure on supply, particularly in the East and we -- as I said in one of the other related questions, we see about a 20-plus million ton reduction in Central App. That might be conservative. It's down 12 million to 13 million just through the first half. So I think that's going to create opportunity. I think natural gas prices just in the mid-3s creates opportunities, particularly for the PRB basin. The fact that normalized weather continues to pull inventories creates opportunities. I mean, we're still paying for a couple of winters ago when we had one of the mildest winters on record, and then we're starting to get dig out of that. And depending on what the new normalized level for inventories are, we think, towards the back half of this year, we could be fairly close to those and create and really set up a real buying opportunity as we move into 2014. And what we've tried to do as a company is ensure that we've got the right assets in place to be able to take advantage of that from a quality standpoint, from a cost standpoint, from a transportation standpoint. And we think we've done all of those, at the same time, maintaining adequate liquidity to make sure that we get through this perfect storm that we're currently in.
Operator: We'll take our next question from Curt Woodworth with Nomura.
Curtis Rogers Woodworth - Nomura Securities Co. Ltd., Research Division: I just wonder if you could put a little bit more context around kind of the ramp-up at Leer. Is there any market conditions that would cause you to potentially push out that ramp-up further? We've seen some other projects like Quintet [ph] from Tuck [ph] being pushed out. And I guess right now, where you said you feel pretty confident that if demand conditions don't change, you'll still be able to ramp up to that full capacity level in 2014?
John W. Eaves: Curt, let me just kick it off here, and I'll let Paul jump in. We're pleased with the way the Leer project has gone. We have spent most of that capital. We think it's going to be one of the lower-cost operations in the Eastern United States. That combined with the high-vol A quality that it's going to generate, we think it's pretty powerful. We continue to do our tests here and abroad. The tests, as Paul indicated, in his opening comments, are going very well. We're getting a lot of positive feedback. We're just moving this back 1 month or 2. We think it's a prudent thing to do. It will not impair our testing in any way. I don't see anything currently that would cause us to make a different decision for 2014. Paul, you got anything to add to that?
Paul A. Lang: Yes. I think just kind of following up, as John said, I think we're all pretty pleased with the way the project has gone. Our guys have hit -- pretty well hit all their schedules. I mean, I was underground a couple of weeks ago. The mine looks very good, and really haven't found any surprises. And we're well on our way to finishing the headgate, tailgate and be pulling those together. But at the same time, after I came back from there, I talked to John. And it just seemed like we were basically spending money to build inventory at the mine at the end of the year. And I think we pull -- I think we talked about it, and we decided to pull it back a little bit and kind of position ourselves for '14. So I think it was the right decision, and I still feel very good about the reserve. It's going to be very competitive, and the mine has great transportation and logistics to the seaborne market. So just overall, it's still, I think, a very good story.
Curtis Rogers Woodworth - Nomura Securities Co. Ltd., Research Division: Okay. And then just to follow up on the met pricing, you said that your high vol sales into Europe seems like down like $5, $8 a ton, yet we've seen $20 to $30 per ton reductions on the benchmark. Do you think that it's a matter of time before the European customers want pricing down? Or is it more a function of the Atlantic Basin pricing corrected earlier than the Pacific, and now it's maybe more closer to a parity on a delivered basis into Europe?
John W. Eaves: Certainly, we look at the benchmark pricing for direction, and it certainly -- we've got some of that. But as we look at our markets for our coal, we look at the U.S. markets, which we've been very successful, and we look at Europe and South America and in Asia. And kind of in that order is where we get the best economics. And we have transportation advantages into Europe as well in South America. So we'll continue to look to those markets as we build out Leer. We think those markets had been very responsive. We're pleased with what we're seeing in terms of demand and still think that we can hold up in terms of a pricing standpoint from what's going on in maybe other parts of the world.
Operator: And we'll take our next question from Meredith Bandy with BMO Capital Markets.
Meredith H. Bandy - BMO Capital Markets Canada: Okay. I guess just sort of big picture, we used to say sort of 15 [ph] by 15 [ph] in terms of met coal production for you guys. What do you think if you're in a better world for met coal in a couple of years, what do you think would be your maximum capacity now and how would you get there?
Paul A. Lang: Meredith, this is Paul. I guess, obviously, we pulled back on a lot of the new projects that are out there, but they haven't gone away. Leer is coming online at the end of this year. It'll bring on about 3 million, 3.5 million tons depending on how much of that we'd send in the midst [ph] market. Longer term, we have several other operations just to the west of Leer that we can continue to bring on high-vol A projects. So the pipeline is still there. We're continuing to work on permits and those type of things, the exploration and design. And the time will come, and we'll keep those in -- basically in our pocket.
John W. Eaves: Meredith, this is John. We've always said that we're going to be responsive to market conditions, and we have done that. If you look at our reserve base, we've got over 400 million tons of high-quality met with a cost structure we think can be competitive here and around the world. And we want to make sure that we protect those reserves and aren't forcing them into a market that doesn't want them. So as Paul says, once we see the market evolve -- and we think it will. I mean, we've got steel consumption growing about 35% over next 6 to 8 years to over 2 billion tons in all over the world, and we want to make sure that we've got the reserves, the quality and the cost structure to take advantage of that growth in demand.
Meredith H. Bandy - BMO Capital Markets Canada: Okay. And then just a minor point, my second question. John Drexler mentioned that 30% to 50% tax benefit you're expecting for the rest of the year. Is there a cash refund associated with that?
John T. Drexler: No. There's no cash refund. That's the -- that gets put into a deferred tax asset position. If you look at the detail of our balance sheet, you can see that we've got a healthy deferred tax asset that's on the balance sheet. So that's not a tax refund that comes back.
Operator: We'll take our next question from Timna Tanners with Bank of America Merrill Lynch.
Timna Tanners - BofA Merrill Lynch, Research Division: Yes. Wanted to ask a little bit more about what -- how you approach the process of looking at asset sales. Because I appreciate the obvious underlying potential growth long term and the quality of your assets. But given the size of your net debt and even a pretty solid market recovery, I just want to kind of hear how you're thinking about the potential for monetizing some of the assets that may be less or noncore, if you will.
John W. Eaves: Yes. It's a continuous process that we have at Arch, that we've been doing for years. And then we said that we'll always be looking at our portfolio to see what fits, what doesn't fit. As we look at the growth in demand over the next couple of years, what we think will play in the domestic and world markets on the thermal side, what we think will play on the met side, we've come to the conclusion that we want to focus on the areas that we can get the best return as a company. And we think our position in the PRB, our position in the met coal, our cost structure, our quality allows us to do that. In saying that, we retained West Elk, which is a low-cost, high-quality coal that has tremendous reach, not only in the U.S. but around the world. The Utah assets were something that we -- over the last 15 years, we pulled out over $600 million of cash flow from those operations. We've been very successful with them. It's a hard-working, dedicated workforce that has done that, at the same time, maintain an incredible safety record. But when you look at those assets going forward, they're going to require some capital outlay just to maintain the production levels that we've had over the last couple of years. We think over the next 4 years, we'll save well over $200 million and mostly capital by monetizing those assets now, including that cash on our balance sheet, making sure we've got plenty of liquidity in the short term. But as the market starts to improve, we'll be able to delever our balance sheet much quicker and focus on the PRB, the met buildout, infrastructure, the access to international market and the buildout of our international customer base. So we're very comfortable with our strategy and what we have in place, our ability to manage our cost and our capital. And this is something that we'll continue to look at and make sure that our asset portfolio fits in with what we're trying to accomplish long term.
Timna Tanners - BofA Merrill Lynch, Research Division: Okay, that makes sense. I guess I'll ask a follow-up just a little differently again in light of potential prolonged weakness in the market. What -- how do you look at what other areas that you could cut out? The SG&A cut was pretty small. And can you continue to see the progress you've made in -- operationally in cost-cutting? And do you expect there's a lot more room there?
John W. Eaves: Well, we lowered our G&A a little bit this quarter, and we continue to focus on that. I would tell you post-CFC transaction, there's probably some additional things that we'll focus on from a G&A standpoint. But if you look at our cost management, our capital management, it's been pretty significant. And as Paul alluded to earlier, as alluded, in 2014, we've got Leer fully capitalized. Our capital requirements may not be as high. It's -- if you look at Arch's G&A relative to others, it's something that we've always had a focus on, not just when we got into this tough market environment. We've always managed a very flat, tight G&A organization, and we'll continue to do that. We're always looking for ways to cut, but we're pretty comfortable with the way we're managing our business right now. But we're never satisfied.
Operator: [Operator Instructions] We'll take the next question from Chris Haberlin with Davenport and Company.
J. Christopher Haberlin - Davenport & Company, LLC, Research Division: John, I think you mentioned in the press release that current levels of met prices are unsustainable, and I think earlier, you referenced the cost curve. And we've heard that from a number of companies here over the past several quarters, say, going back to the fourth quarter when pricing reached $170 a ton. But since then, we've seen very little in the way of supply cuts. Can you just comment on any near-term or short-term roadblocks that might be holding up an incremental supply coming out of the market and then what your outlook is for the needed cuts to come off so we can rebalance the market?
John W. Eaves: Chris, as I indicated, in the 300 million ton market, we think there is a pretty significant percentage of people that have economics that don't work at 1 45 [ph] . And I mean that you can call it whatever number you want, we think it's probably at least 20%. So we think there's got to be some more rationalization. I mean, you can point to a number of things, and I'm sure you've heard on other calls, I mean, there's pretty significant take or pays in Australia that may be driving it. You may have agreements that fall off between now and the end of the year that may cause people to make a different decision. But what we're trying to do as we've looked at if this space, is always make sure that we've got a variety of products with a cost structure that we can make a positive cash margin in difficult markets. And we're doing that now and make sure that we manage those costs in a way when the market turns that we can create significant margins. And we think we've got Arch positioned that way right now. I mean, we made some cuts in the fourth quarter and second quarter of this year, and we think those are prudent. But what we have right now with this 8 million ton level is a cost structure that we think can be very competitive. I can't speak for competition, but I can tell you there's a lot of high-cost met out there, whether it's in the U.S., Australia or Canada. And those are things that some people are going to face between now and, say, over the next few quarters. So we think there's rationalization coming. We just can't tell you how quick that's going to take place, but what we can tell you is Arch has got itself positioned where it will be standing when all this shakes out.
Operator: We'll take our next question from Caleb Dorfman with Simmons & Company.
Caleb M.J. Dorfman - Simmons & Company International, Research Division: I guess first, the met market stayed bad for a lot longer than everyone expected. Let's assume that it continues to stay in a tough position for an extended period of time. How do you work through that operationally and strategically? You've got a lot of liquidity. Are you comfortable that you have enough to work through? And with a Leer mine coming online, how do you work that production into the market? Does that displace other higher-cost Arch mines or other higher-cost mines from other producers?
Paul A. Lang: Maybe I'll -- this is Paul, Caleb. I'll start out. As you look at Leer coming online, it's going to be a product that is a high-vol A, and we expect it mostly to go into the Atlantic Basin seaborne market. And it's really not a product that we're pushing out there right now. Most of what we're selling is a high-vol B into Europe. So I really don't expect any kind of self-cannibalization on with Leer. But at the same time, as John said, we're always going to be looking at our portfolio. If we have high-cost operations or uneconomic operations, we'll make the call.
Operator: And we'll take our next question from Lance Ettus with Tuohy Brothers.
Lance Ettus - Tuohy Brothers Investment Research, Inc.: I know that you're delaying Leer to -- or the longwall until the end of 4Q. Is that kind of -- should we be implying that you're kind of assuming that the benchmark kind of rebalance maybe for the 1Q 2014 is higher than today's?
John W. Eaves: Well, I think the market will play out, and we'll see how the rationalization happens over the next few quarters. I think what we've said is we didn't see any reason to force tons into market between now and the end of the year given the fact that our tests are going well. We're getting plenty of coal out of the test markets. The feedback has been positive. We would certainly expect, whether it's first quarter, second or third of '14, that after this rationalization occurs, you're going to see a step-up in price. And we want to make sure that we're positioned for that. But even in difficult markets, as Paul said, we're going to have a cost structure at Leer and our other met mines that allow us to generate a positive cash margin even in the difficult markets that we're in and make sure that we're positioned, so when this market does materialize, that we could take advantage of it. And that's how we positioned Arch.
Operator: And we'll take our next question from Matt Farwell with Imperial Capital.
Matthew Farwell - Imperial Capital, LLC, Research Division: Just a question on the cash. You -- it sounds like you'll be building some cash over the next quarter. Obviously, you will generate another $435 million from the Canyon Fuel sale. So you mentioned in the commentary you're looking for proof of a market recovery before you determine the use for that cash, primarily for deleveraging. So I guess the first question is, with the thermal recovery on track but further rationalization in -- needed in met -- global met markets, do you need to see an improvement in met coal pricing before you look to use that cash to deleverage? And then secondly, if -- when you get to that point, would you be focused on extending maturities and reducing cash interest or would you be focused on reducing bank debt?
John T. Drexler: Matt, good questions. I think as we sit here today and we look at the markets -- you are correct. I think as we look at the overall fundamentals in the thermal side of the business, we see things all heading in the right direction. With all of that said, we're also sitting here today with less than hot summer, and so that combined with, as you alluded to, the met market and wanting to see some recovery there, we just think it's prudent right now to leave the liquidity, the cash on the balance sheet. As we do see those markets begin to improve, our view would be that we have excess cash on the balance sheet. And as we've indicated previously, our focus and strategic priority will be to reduce leverage and a variety of ways to do that. We'll look at all avenues. Clearly, our next largest maturity coming due are the 2016 notes in the back half of the year for those notes. So they are ones that we are focused on. At the same time, we also have prepayable bank debt as well. So we'll look at all avenues and proactively attack that as we move forward in future years as we see markets improve.
Operator: We'll take our next question from David Gagliano with Barclays.
David Gagliano - Barclays Capital, Research Division: I'm going to just keep this to a couple of housekeeping questions. They are related. What are the -- what was the $9 million mark-to-market gain related to in Q2, and are there more of those in the future? And then the other question is how much met did you actually sell in the second quarter?
John T. Drexler: The mark-to-market, David, as we've had previously, is -- our position is that we have API 2 positions that with some of the market movement, have resulted in mark-to-market gains. As we've indicated previously, as -- that's for anticipated shipments. Most of that is in the back half of the year. As those shipments occur, that gain will reverse against those shipments. And so that's what that is. It's been consistent with what you've seen coming through our income statement from quarter-to-quarter, depending on where market movement has been.
John W. Eaves: David, relative to the question on met sales in Q2, just give you a little bit color, we shipped 2.1 million tons, which was roughly 30% domestic. Most of that was high-vol A -- or excuse me, high-vol B in PCI with the balance to that being high-vol A and low-vols.
Operator: And we'll take our next question from David Lipschitz with CLSA.
David A. Lipschitz - Credit Agricole Securities (USA) Inc., Research Division: Can you talk to me about how -- you talked about the -- we need maybe 15 million, 25 million tons of coking coal to come offline, except it seems like everybody's bringing on new production. And it seems like you have the same issue with the oversupply potentially in the Powder River Basin. Where do we need to get to on a marginal cost basis for you really guys to start to delever even above and beyond your cash balances after the deal? Because you're still going to have to use that $3.7 billion or $3.8 billion of net debt. When do -- what do we need to see for you guys really to start generating? And with all the oversupply still there, how do you look going forward, in terms of -- how do you get out from under this mess, so to speak?
John W. Eaves: Well, we try to take a long-term view of the market. And as we look over the next couple of years, I mean, we see steel consumption growing at a pretty rapid pace, and we think the demand is going to continue to grow, whether it's increased capacity of the existing blast furnaces or buildout of new blast furnaces. So from that standpoint, we do see improvement in demand growth longer term, and we want to make sure that we position ourselves for that. As we look on the thermal side, if you look at the pressures we're seeing in Eastern United States from a cost standpoint, from a permitting standpoint, we do think the PRB is going to be one of the primary beneficiaries of that falloff in supply in the East. If you look globally, there's 280 gigawatts of new coal power generation that are being built. I mean, these aren't being discussed, planned. They are being built and are going to come on over the next 3 or 4 years, needing 800 million to 900 million tonnage of additional supplies. So all of those things, we think, will drive improvements in the market. I mean, it's -- as John talked about our cash position, we want to make sure that we got liquidity in place to get through this tough period. We can't tell you if it's 6 months, 12 months or 18 months, but what we can tell you is Arch will be around once we get through it. And we want to have the quality products, whether it's thermal or met. We're going to have the cost structure to access the U.S. and international markets. And that's why we've been more proactive than others in terms of going out and getting the infrastructure to allow us to access that demand growth we see around the world. I mean, I can put a hard number on what it's going to take in the PRB or what it's going to take in the met market to start seeing a point where we get a situation where we're delevering our balance sheet pretty significantly. But I would tell you that it's not significant. I mean, it's -- certainly, it's not $145 and $150 in the benchmark pricing, but it wouldn't take huge increases in the met market and huge increases in the PRB for us to start generating significant EBITDA and delevering our balance sheet.
Operator: Due to time constraints, we will take our final question from Matt Vittorioso with Barclays.
Matthew Vittorioso - Barclays Capital, Research Division: Yes. Just was hoping to get a little more color on the cost breakout in Appalachia. If we thought of your overall tonnage in Appalachia being somewhere around 15 million to 16 million tons [indiscernible] were relatively possibly evenly between thermal and met, where does that cost break out? If your average cost is in the mid- to high 60s, is the met $75 and the thermal is $55? Can you give us any color on that?
Paul A. Lang: We really don't break that out any -- in any greater detail. And as you said, we're about almost evenly split in Central App between thermal and met. And right sitting here today, the -- we basically have one large met or thermal complex left. That's Coal-Mac, which should be still doing or still capable of positive returns even in this market. But at the same time, we've also got 2 very low-cost operations or will, if not lower than ultimately Leer, that should have a very competitive cost structure in the future.
Operator: That concludes today's question-and-answer session. Mr. Eaves, at this time, I'll turn the conference back to you for any additional or closing remarks.
John W. Eaves: I do want to thank you for your interest in Arch Coal. We had a busy second quarter. We're focused on the things that we can control: cost, capital, sales commitments. And we continue to execute on our strategy to monetize noncore assets. So we look forward to updating you on the October call. Thank you.
Operator: This concludes today's conference. We thank you for your participation.